Operator: Good morning and welcome to Super Group’s Fourth Quarter and Full Year 2022 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. Please also note that this event is being recorded today. I would now like to turn the conference over to Lisa Kampf, Head of Investor Relations. Please go ahead.
Lisa Kampf: Good morning, everyone and thank you for joining our call today to discuss Super Group’s results for the fourth quarter and full year of 2022. During this call, we may make comments of a forward-looking nature that are subject to risks, uncertainties and other factors discussed further in our SEC filings that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility to update forward-looking statements other than as required by law. Additionally on today’s call, we may refer to certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. We had provided a reconciliation of the non-GAAP financial measures to the most comparable GAAP figures in the press release issued earlier today and available on the Investor Relations page of Super Group’s website. We suggest that all investors refer to the supplemental presentation posted to the IR section of our website, which includes the financial information that we are referring to during this call and additional information for the quarter. Today, I am joined by Neal Menashe, Chief Executive Officer and Alinda Van Wyk, Chief Financial Officer. After our prepared remarks, we will open the call up for questions when we will also be joined by Richard Hasson, President and Chief Operating Officer. And now, I would like to turn the call over to Neal.
Neal Menashe: Thank you Lisa. Good morning everyone and thank you for joining us today. Welcome to our call to discuss the results for 2022’s fourth quarter and the full year. 2022 was a very significant year for Super Group including becoming a publicly traded company in January. Total revenue for the year of €1.3 billion exceeded our guidance range and operational EBITDA came in at our mid-range at €208 million. During the year we continued to grow invest in many markets focusing on the long-term. Our 2022 revenues decreased 2% from 2021 but remained 25% above 2020 level and we continue to generate profits and cash. The 2022 financial results were impacted by a few factors; comps and macro factors were difficult because 2021 benefitted from COVID lockdowns and because consumers began to feel the effects of inflation in certain markets. We had a significant decrease in our contractor brand license fee. Some key markets introduced new regulation, and we incurred significant additional overhead costs due to being a public company. Despite these challenges, for the fourth quarter, average monthly active customers increased to €3.4 million from €2.9 million in the prior year, a 21% increase helped by the FIFA Soccer World Cup and T20 Cricket World Cup and the acquisition of Jumpman Gaming towards the end of Q3 2022. For the full year, we average 2.9 monthly active customers at 11% from €2.6 million in 2021. We are truly a global business that last -- in over 20 jurisdictions on the ground team in 22 countries supporting 29 languages. We continue to optimize our global footprint which means opening new markets where we see opportunity and being prepared to close existing markets that are no longer attractive. Of course in 2023, our global footprint will clearly grow aboard with digital gaming Corporation DGC now being part of Super Group with it’s A class stage and exits an additional file. On the back of Super Group being fully licensed in these [Technical Difficulty] welcome DGC to the Super Group family. We believe the company is uniquely positioned in the industry as we embark on 2023. Our strategic priorities for the year are aligned with how we allocate our cash. Firstly, we are an online only technology business and remain focused on improving the customer experience with on-going enhancements to our global platforms in order to optimize engagement, customer value and adapting and localizing to each market in which we operate. Achieving this is only possible control of both the front end and the back end of the product. Discussions with our key technology providers Apricot are therefore on-going as we look to ultimately take ownership of our sports book technology, which will give us full control of the cost and even closer direction of product enhancements and deployment into new markets. Our conversations are progressing well and we’ll provide additional updates as soon as available. Secondly, we’re focused on optimizing our global footprint. We have sites that are entering the U.S. market which is $53 billion TAM; we will be approaching the eight market that will activate with a disciplined and measured approach. We will apply the same toolkit to those that use these markets that were successfully built and implemented across the globe over the last two decades. To be clear, we see the U.S. as an attractive opportunity. And we’re going to invest what constantly re-evaluating the spending returns being generated on a state by state basis. From an investment perspective, the U.S. entry is simply creating optionality for us. Our global ex U.S. business continues to grow and generate cash, and the U.S. presents upside potential on top of that. Keep in mind that it’s not a growth at all cost scenario. We’ve been disciplined enough in spending since inception, and we tend to manage this expense in the same way. The U.S. over the next three to five years is going to require significant investment into a number of areas including tech, marketing and customer service, that we directly apply our proven strategies in the U.S. market the same way that we have in other markets worldwide. The investment required for DGC will be funded by constant cash flow that’s the remainder of our business generates elsewhere around the globe. Of the eight states that Betway currently live in, three of those are operating on the Betway global tech. And while still very early days are higher, the latest days to launch on this technology is literally showing some promising metrics and proof-of-concept. We are working on optimizing our technology and customer journeys in the other markets and look forward to further investments into the stage what’s all components are correctly allowed. We are planning on sharing more data about the U.S. in the coming months. Moving on to non-U.S. markets. The transition to the regulated online casinos sports betting a [Indiscernible] market and the German sports betting market continues. We’ve incurred development costs to optimize the customer experience and provides an easy transition and both markets are tracking in line with expectations. Our majorities’ take of Jumpman Gaming is performing well adding a sizable gaming customer base from a more recreational segment of the U.K. market and contributing to our profit. We’ve taken this opportunity to learn more about this segment, but the possibility of using its proprietary tech stakes in other markets around the world. Overall, our process our global footprint is strategic and selected, and we continually re-evaluate the market that we should enter as a market that we’re really operated. We will never stay in a market only for the sake of a larger footprint. If a market doesn’t continue to present us with a feasible case for long-term growth and profitability then we will leave that market. On the marketing front, we continue to invest in brand and other marketing channel to reinforce both this Betway and Spin brands around the world to ensure future growth. Spin our portfolio of online casinos that now includes the Jumpman brands focuses on targeted marketing campaigns with on-going detailed and careful analysis of spend and ROI. Betway our sports betting brands allow for marketing at scale, and thus boasts a portfolio of over 60 brand partnerships, continually reinforcing the Betway brand globally. We are continually evaluating strategies in order to deliver meaningful shareholder returns. Given our liquidity position, the Board of Directors approved the share repurchase program in January and we intend to be disciplined within the authorization provide. In December last year, we successfully completed a warranty exchange at a very moderate cost, cleaning up our capital structure and all outstanding warrant and earnouts right and therefore any potential future shelf evaluation from these instruments. I would like to point out that all our pre listing shareholders participated in that exchange at zero cost to the company. In addition, we continue to set the number of strategic acquisition opportunities around the world. In conclusion, on the path of successful 2022 we’re excited about the opportunities we have to both strengthen and expand our business while remaining profitable, cash generative and debt free. We are running the business with a long-term outlook in continued pursuit of increased shareholder value. I’ll now turn the call over to Alinda to talk about our profitable quarters here as well as discussing our 2023 guidance. Alinda?
Alinda Van Wyk: Thank you, Neal. Today I will be referencing operational results included in the presentation posted on our website. I will also discuss the guidance for 2023 and the underlying assumptions driving our projections. As Neal mentioned, 2022 total revenue was €1.3 billion above the upper range of our guidance of €1.28 billion. EBITDA for 2022 was €208 million in line with the midpoint of our guidance. In the first quarter of 2022, total revenue was €360 million 3% lower than in the first quarter of 2021. The decline was driven by lower brand license fee revenue and regulatory changes in some markets. Net revenue, which excludes brands license income increased 1% to €322 million. Let’s break this down into the business segments. Sports book revenue increased by €5 million in the fourth quarter growing 5%. Sports book revenue includes revenue generated from sports, as well as some other offerings under sports licenses in certain jurisdictions. Growth in Africa continue to be impressive, and we are seeing strong growth in active customer numbers. We also have strong growth in Europe and Canada excluding Ontario. This growth was offset by lower revenues from Ontario as they Betway’s transition to the regulated markets progresses. We did however experience month to month growth throughout the fourth quarter. This growth driven by our efforts to attract and retain customers was unfortunately negatively impacted, but out of the ordinary support margins predominantly in the worldwide soccer during November and December. As you know, any sports book can be volatile in the short term that’s potentially impacting revenues and profitability. Customer numbers for sports book was up 11% 2022 versus 2021 and 19% if you compare the quarter fourth results with record numbers for new and monthly active customers. Moving on to online casino, net revenue in quarter four decreased slightly by €3 million or 1% as compared to the prior year. The business inventory of short term disruptions due to transitioning into the regulated market, but is improving month on month. We also saw a decline in APAC region. On the upside, we had significant growth in the U.K. which included a full quarter of revenue from Jumpman Gaming. Continued growth in Africa and growth in Canada, excluding Ontario. Customer numbers for casino was up 12% for 2022 versus 2021 and 41% if you compare the quarter four results. Looking at the bottom line, we achieved operational EBITDA of €42 million for the fourth quarter of 2022. This is a drop from quarter four for last year largely driven by lower brand license fees, higher cost of revenue due to the impact of shift of business and country mix with a high percentage of net revenue coming from Betway, which historically had a lower profit margin, an increase in general and administrative costs due to being a public company, further increase in the investment in technology and a slight increase in marketing spent. Looking at our financial position, our balance sheet remains healthy with positive growth of unrestricted cash of €255 million at the end of December. A balanced capital structure was income generating assets and now... Now moving on to 2023. I want to give a quick overview as how we will be disclosing our figures, including forecast going forward, given the DGC is now part of the group. To recap, we closed on DGC acquisition on January the first of this year. Going forward, we will be presenting our results and guidance split up between our global ex-U.S. business, the super group up to now and the U.S. business being DGC. DGC is at a very different stage of development to the rest of Super Group business, both the scale and the investment horizon of the U.S. opportunity one, to split these figures out and also provides more helpful and insightful information to us and to our shareholders and potential investors. We view the multiple markets in the United States as attractive upside investment opportunity funded by the ample cash flow from the rest of our worldwide business. Moving on to our expectations for 2023. Excluding our U.S. business, we predict revenue for 2023 to be €1.35 billion, which represents single digit growth from 2022. We are projecting stronger growth in operational EBITA of €220 million, driven by a combination of modest top line growth and better cost control. Some of the material assumptions underpinning our 2023 guidance include; net revenue is expected to grow by approximately 5%. Taking into account the continued uncertainty in the macro environment, affecting both our customers and the local currencies of various markets in which we operate. Brand license revenue for 2023 is expected to be on average €2.3 million for the month. Marketing is expected to be 25% of net revenue, reflecting continued investment into all channels of marketing, including brand. And finally, operating costs are expected to be €8 million lower than 2022. We have identified cost efficiencies of €18 million versus the 2022 costs based on a like for like basis. This is in part offset by Jumpman being included for the full year compared to four months in 2022 along with an additional investment earmarked for selected markets, which are expected to deliver strong revenue growth in the next financial year. This net effect is that we expect EBITDA margin to step up from the 16% EBITDA margin in 2022. Part of our efforts to eventually return our target margins of closer to 20%. We remain focused on improving operating efficiencies across all our businesses, and therefore increasing EBITDA margins. On to the U.S. or DGC. As noted previously, DGC is very much at early stages of its development. This business is live in 8 states where 6 states have a sports only offering and the remaining two have both sports and are iGaming. Some of these states are not yet operating on the Betway global technology and need to be migrated over. As this is successfully done, we will begin investing more into those markets, always focusing on areas that produce the best return on investment. DGCs net revenue that’s expected to remain minimal for 2023. And we expect around €70 million loss for the year on operating EBITDA level. This is a significant opportunity for us. Timing is dependent on the speed of regulation and the new states. But based on our current footprint we expect to break even within the next five years without investment in the U.S. being easily funded by operations from the rest of the world. In conclusion, Super Group remains financially strong and we continue to run our business profitably while investing in technology and marketing to support future growth. I will now turn the call back to Neal for his final remarks.
Neal Menashe: Thanks Alinda. I’m proud to say that for Super Group 2022 was another year of consistent healthy revenue and EBITDA and the business remains uniquely positioned in the global gaming universe. The key to our business model is investing in the short-term for longer-term scale and profitability. We could easily cut back on marketing and tech investments today, in order to achieve at an amazing extra profit. But that won’t help us down the road. We look to be as efficient in our investments in technology and marketing space to achieve higher margins in the future. As we continue to grow our business, it’s important to note that incremental revenue becomes more profitable from a margin perspective, operating leverage [Indiscernible]. I’m happy with the progress as far as 2023, which includes a record number of unique customers, and a new daily high of almost 1.35 million unique customers. We are however still subject to the impact of worldwide currency fluctuations against the euro and the volatility in the sports book, which we saw again in February. But I want to remind everyone that 65% of our revenue comes from online casino at continued focus area for us. So to summarize, we have a diverse global footprint across sports betting and iGaming. We are an online only business with a high degree of control of our tech stack and working on extending that even further. We are profitable, debt free, highly cash generative with a healthy balance sheet. We will continue to go after long-term profitable growth with a highly experienced team. We are excited about the prospects that 2023 brings, including building a foundation and establishing our footprint in the U.S. We will now turn over to the operator for questions.
Operator: Thank you. At this time, we will now begin the question-and-answer session. [Operator Instructions] And our first question here will come from Jed Kelly with Oppenheimer. Please go ahead.
Jed Kelly: Hey, great. Thanks. Thanks for taking my questions. Just two if I may. One, can, can you just help us? I think you mentioned the month to month overgrowth in Canada. Can you kind of give us any sense on how that’s trending into 2023? And then just can you talk about your U.S. strategy? I see in the guidance, you’re guiding for $70 million of losses. Can you talk about, the strategy in terms of investing in that market when we continue to see new state launches? It’s kind of, we’re seeing two large players really consolidate a lot of the market share. So can you talk about the strategy in the U.S. with the market share dynamics? Thanks.
Neal Menashe: Okay, so I’ll go first. So on Canada, we have seen month on month growth in Canada and in Ontario, month to month increasing in Ontario. As you know, when you go from a new regime with the regulatory changes, we have to put in it takes time to migrate to the existing customer base over. But that is all in line with our expectations.
Alinda Van Wyk: And continuing into 2023.
Neal Menashe: And continue into 2023.
Richard Hasson: And Jed, Richard here. So on the U.S. I think Neal touched on that in a bit more detail, we’re effectively going to be looking at the U.S. the same way we have more of the markets around the world. You’re correct, for 2023 Alinda referred to a €70 million investment. And at the same time, that investment will be assessed on an on-going basis in terms of finding which states are commercially feasible. And given the sooner way, we’re not going to be going off to stage just for the sake of having a large footprint, we’re going to be looking to have the brands lie in the states that makes sense. And ultimately applying the same toolkit of which the technology is a very key part applying that across the country.
Jed Kelly: Great, that’s helpful. And then can you just talk about sort of where you are in some of your U.S. partnerships on your media partnerships and how you look at those. And then, is there anything in your international markets in terms of the regulatory landscape that we should be aware of this year? Thanks
Neal Menashe: On the U.S. again, in a similar way that we have a significant investment into the brand which is supported by all the other marketing channels that same approach will be applied to the U.S. You will be were of the number of brand partnerships that already exists in the U.S., but again it’s not just those, it’s the global portfolio of the over 60 partnerships around the world. And then it’s reinforcing that brand with other return driven marketing nationally, and also, of course, on a state by state basis.
Richard Hasson: And then I’ll come in. So yes, so in the – so across the world, you’ve got the U.K., the white paper, again, we are waiting for -- that will be published. But we’ve been very conservative in the U.K. Betway for the last five years. So for us, we look forward to seeing what the white paper says. Germany was the other one significant one member, we had to turn off casino a while back. And now we had to move over to the regulated regime and getting the software compliant in that regime. So we still there. And then in Netherlands, we still waiting back from the regulator, and a whole lot of foreign operators still waiting to get back. But our business is made up of lots of these jurisdictions. And we’ve learned how to and everyone, get the software, get the technology and get the marketing driven returns in those markets. And remember, this business is about market or country by country. And that keeps hitting everyone it’s always about the extra revenue we get is that it has a huge margin, because you’ve got all the other costs already covered.
Jed Kelly: Thank you.
Operator: And our next question will come from Bernie McTernan with Needham and Company. Please go ahead.
Bernie McTernan: Great, thanks for taking the questions. Maybe just to follow up on the U.S. Do you think 23 will be the peak investment year for the country and then just any like early learning’s that you’ve had from the U.S. what you’ve been successful, and maybe what’s been more challenging than, than you previously anticipated.
Richard Hasson: Hi, Bernie. So in terms of the investment in 2024 we expect probably the same ballpark figure. Beyond that, as Neal mentioned, this is not a kind of bottomless pits of investment. While we look at 2024 at that level, if we continue to assess each state on a state by state basis, and make sure that we are investing in markets where the economics make sense, and where we can generate the appropriate returns. In terms of learnings, again, if you’re mentioned higher, which went live earlier this year, on the Betway global technology, we’re seeing some promising metrics coming out of that, unfortunately in that light, we are seeing that having the right technology in place, is very beneficial to us and talk to the strategy that we’re implementing. Again, last point and also, we do plan to come out in the coming months with a bit more detail around U.S. and the [Indiscernible].
Bernie McTernan: Understood and apologies if I missed it, but was there any update on the potential insourcing of the tech stack in relationship with Apricot?
Neal Menashe: Yes, so as I mentioned, we are still in discussions with him. We are making good progress. So we will come back to you on that budget. But do you remember for us the key here in this business is technology, it’s your technology, your marketing and your people, and we can’t get away from that, that you need the technology. And as regulation changes, as new stuff comes available, we have to be investing in that. And that’s why owning and controlling that part is super important to us.
Bernie McTernan: Understood. Thank you.
Neal Menashe: And it also allows you to differentiate yourself from the competitors.
Operator: [Operator Instructions] Our next question here will come from Michael Graham of Canaccord. Please go ahead.
Michael Graham: Hey, thanks a lot. I just had two questions. The first one is on your guidance for 1.35 billion in revenue. Could you maybe just talk a little bit about anything we should, we should know about the seasonality as the year plays out and anything to call out in terms of sort of which parts of the year might be heavier than others. And then you spend some time in your prepared remarks talking about closing markets that are become unattractive. And I just wonder if you could maybe add a layer of depth to that and talk about like, how you kind of quantify that and do think that this will be a more important part of sort of how 2023 and 2024 play out as we go forward? Thanks.
Alinda Van Wyk: Thanks, Michael. I’ll take the first part. Alinda here. The seasonality of the -- is predominantly around the sports offerings. We in the investor’s presentation on the way we have given a quarterly breakdown. So you can easily see how seasonality on a high level impacts the business. So we don’t break the guidance up in that format going forward. But as we’ve also said it’s interesting what happened in November December that you can’t really projects for sports the volatility of the outcomes of the results and the [Indiscernible] sports. But the thing is that my -- our projections for 2023 on revenue is predominantly modest based on the macro economic impacts on our industry at this point in time as well as due to the fact that we’ve seen such volatility in the currencies around the world is also and we a multinational company, we starting to see. And we’ve just taken that into consideration on the revenue forecast for 2023.
Neal Menashe: And then and then Neal here. And then I’ll answer your questions on any markets and how we consider exiting them. We actually have one in Africa and one in Europe and that was formally based on either the tax regime there that basically still your costs or mortgage [ph] your revenue. And also one after the other one was more based on the technology stack, like we’ve really seen that we need our own technology stack in all these markets that we operate because then you get your group stack across the world and all the benefits you’ve got from one country you can give in into the next country. So from us we look at it based on how their country looks from an operating EBITDA per country. And then we see are we ever going to get to making money there or, or not? And that’s how we’ve done it for the last two decades.
Michael Graham: Okay, perfect. Thanks a lot for that extra color.
Operator: Ladies and gentlemen, this concludes our question-and-answer session, and thus concludes our call today. We thank you for your interest and participation. You may now disconnect your lines.